Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Jones Soda's financial results for the second quarter ended June 30, 2020. Before we begin, let me remind everyone of the company's safe harbor disclaimer. Certain portions of our comments today will concern future expectations, plans and prospects of the company that constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. The forward-looking statements include all statements containing verbs such as aims, anticipates, estimates, expects, believes, intends, plans, predicts, will, may, continue, projects or targets and negatives of these words and similar words or expressions. Forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those indicated by the forward-looking statements. The factors that could affect our actual results include, among others, those that are discussed under the heading Risk Factors in our most recently filed reports with the SEC, including our annual report on Form 10-K, our quarterly reports on Form 10-Q and our current reports on Form 8-K. In addition, this call includes discussions of certain non-GAAP financial measures. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the earnings release and other documents posted on the company's website under Investor Relations. I would like to remind everyone that this call will be available for replay through August 13, 2020, starting at 7:30 p.m. Eastern time tonight. A webcast replay will also be available via the link provided in today's press release as well as on the company's website. Now, I would like to turn the call over to the Interim CEO of Jones Soda, Jamie Colbourne. Please go ahead, sir.
Jamie Colbourne: Thank you, operator, and good afternoon, everyone. Before I turn this over to Joe to provide the update of the quarterly results, I wanted to comment is how pleased I am with the progress we are making overall. The second quarter ended on track and marked what I believe to be a turning point for the business. While these last several months have certainly been challenging and we clearly still had a lot of work to do, I'm very encouraged by the voluntary and commitment the team has shown to deliver improved performance. Notably, the revenue trajectory of our core business is still ready to grow. We've cleaned up our balance sheet, and our people are rallying together to deliver and win. Before I come back and give more comment to this change, let me turn this over to Joe to share the numbers.
Joe Culp: Thank you, Jamie. Total revenue in the second quarter was $3.1 million compared to $3.5 million in the year ago quarter. The decline was primarily due to the expected decrease of $384,000 in 7-Select revenue as a result of the declining number of 7-Eleven stores carrying this product and onetime promotions for 7-Select in the prior year quarter that bolstered revenue in such prior period. In addition, there was a decrease in fountain soda revenue, which only represents a small portion of our total revenue, as our QSR and foodservice partners continued to experience a decline in demand as a result of COVID-19-related dining restrictions. However, these headwinds were partially offset by a 9.4% increase in revenue from our core bottled soda products. Excluding 7-Select product line, our total revenue for the second quarter of 2020 would have remained flat at $2.9 million compared to the prior year period. Gross profit as a percentage of sales was 18.9% compared to 22.6% in the prior year period. The decrease was primarily driven by onetime sell-off of slower moving inventory at discount, which resulted in a negative gross margin for these products. Having cleaned up our inventory, we do expect to see margin improvements going forward. In fact, without these onetime sell-offs, margins would have experienced a slight increase year-over-year. Operating expenses in the second quarter were $1.3 million compared to $1.2 million in the same year ago quarter. The increase was primarily due to increases in consulting fees during the quarter as we look to outside advisers to assist us in strategic evaluation of the business. Outside of the consulting fees, we continue to monitor the evolving market dynamics very closely and are reducing spending accordingly as we continue to work to optimize our cost structure. Net loss in the second quarter was $738,000 or negative $0.01 per share compared to a net loss of $576,000 or negative $0.01 per share for the prior year period. Adjusted EBITDA in the second quarter was negative $653,000 compared to negative $357,000 in the year ago quarter. Moving on to the balance sheet; at June 30, 2020, cash and cash equivalents totaled approximately $4.3 million compared to $6 million at December 31, 2019. Apart from an outstanding convertible debt instrument, and our loan under the Paycheck Protection Program, we do not carry any substantial debt and continue to evaluate our options for a new line of credit to be put in place ahead of 2021. Lastly, working capital was $7 million compared to $8.4 million at the end of last year. It was a point of emphasis this quarter to clean up the balance sheet as we liquidated slow-moving inventory and eliminated various accounts receivable that we did not expect to receive payment on. Although this added several onetime costs for our financial statements this quarter, we are now much more confident in where our balance sheet is today and believe our current position allows us to weather any further challenges we may face due to the global pandemic. I will now turn the call back over to Jamie for commentary on the progress we have made and what to expect going forward. Jamie?
Jamie Colbourne: Thanks, Joe. Overall, the second quarter ended strong, and that's a turning point for progress. While these last several months have certainly been challenging, I'm encouraged by the commitment the team has shown to get this organization on the right track. Before I go any further, I want to reiterate that the health and safety of our employees, supply chain partners, distributors and all stakeholders, remains our top priority while we still face the effects of COVID-19. We continue to follow CDC-issued guidelines for best sanitation and social distancing practices, have eliminated nonessential travel and have the majority of our staff still working remotely. We will continue to respond to any new developments appropriately while ensuring continuity of our day-to-day business operations. So let's recap our performance across the various product lines throughout the quarter. Starting with bottled soda; as we've discussed, this is the core of our business and where our primary focus has been. We continue to see positive momentum with revenue for this product line growing 9.4%. Bottled case sales improved incrementally each month with June posting a 34% growth compared to the prior year. Further to that, this momentum has continued through July. We believe that path we're on reinforces the confidence we have in continuing to use our bottled set of products as the foundation of our business going forward. For the Lemoncocco, we continue to generate market interest in this unique product line and are currently evaluating incremental opportunities in marketplace to grow. While it remains a small portion of our revenue, we believe Lemoncocco has the potential to be a significant growth driver to the business going forward. Looking at our co-branded 7-Eleven program, as expected, this line reported a decline for the quarter as we reflected, continued decrease in the number of 7-Eleven stores carrying the products as well as the decision by 7-Eleven not to duplicate an aggressive promotional activity in place to the prior period. Lastly, as Joe mentioned, our fountain revenue was negatively impacted during the quarter as our partners in the food service channel was severely impacted by COVID-related dining restrictions. We remain in close contact with our partners to ensure that we are providing them areas they might need during these times, which includes offering distribution support for our packaged products. For the foreseeable future, our target is more clarity on how foodservice establishments will operate in a post-COVID environment. We do not anticipate this portion of our business to return to growth. However, fountain is still a very exciting channel for us in the mid to long term, and we believe its eventual return to growth compared to the same trajectory we have begun to see in our bottled soda over the last few months. Now moving on to our operational highlights; the main objective during the quarter is getting everyone at Jones more focused on the core competencies that drive growth and ensuring we are running the business as efficiently and cost effectively as possible. Jones have already established itself as an incredibly unique craft brand within the soda industry, which has the potential for significant growth. However, in order to start building the necessary momentum, we need everyone strategically focused on what we do best, which is selling some of the best bottled craft soda on the market. This core product line will remain the foundation of our business and will be - continue to be the main focus for upcoming initiatives as we aim to return to our roots and grow from there. With that in mind, we'll be closely examining each aspect of the selling process. And one of the most important issues we identified this quarter is that we need it to be better aligned with our distributors in order to set them up for success. Our sales team have already implemented a refocused approach to working with our distribution partners, and we are already seeing increases with them in sales volumes. We estimated a priority to crew our balance sheet, as Joe spoke to earlier, by selling obsolete inventory at a discount, and writing off several outstanding accounts receivable balances that we're unlikely to be able to collect against. Although this negatively impacted gross margins and increased expenses for the quarter, we believe that it is necessary to go through this process in an effort to build the business from the ground up with a clean balance sheet. As we continue to focus on growing our core bottled soda business, our marketing team has been hard at work implementing a central media strategy to help boost the consumer awareness across North America. Taking a lead from our historical successes, the marketing team has refocused its targeted retention towards the extreme sports community. It consolidates what we believe aligns well with our unique brand image. Although we made good progress in this front with the announcement of our sponsorship of the brand's parks service earlier this year. As many of you know, large events have been canceled due to COVID-19, however, with strong belief there is significant opportunity from this group of consumers, just prior to the end of the quarter, we reunited with one of Jones' first sponsored athlete, and arguably, the most well-known skateboarder of all time, Tony Hawk. Together, we launched our It's My Craft campaign, which was noted on Tony Hawk's social media channels, specifically targeting his 15 million highly engaged followers. The campaign hit the road earlier this month in a fully wrapped Jones-branded RV carrying Tony and his family on a 10-day tour with stops that included a bison range, various national parks and multiple skate parks. Along the way, Hawk created a photo and video content, showcasing its family's adventures that will be featured on both Hawk's and Jones' Facebook, Instagram and Twitter accounts. Going forward, the It's My Craft RV will continue to promote the Jones brand with stops throughout the summer in select markets, highlighting local talent and offering samples of Jones' craft soda. With Tony in our camp, a graphically in your face RV, serving as a moving billboard for the brand and the It's My Craft campaign creating major visibility, we believe this campaign has the ability to significantly increase our brand exposure with a goal of increasing sales volumes for our products. So in closing, I am pleased with the progress we have made so far with a renewed focus on our core business. We remain committed to continuing the elevation of the business to help ensure that we have an efficient cost structure, healthy balance sheet, and the necessary procedures in place to effectively expand brand awareness and grow sales volume. Personally, I'm very confident in the Jones Soda brand and believe we are taking the correct steps forward to get this business back on track. We look forward to continuing to provide updates on the progress that we were making. Before wrapping up the call, Joe and I would like to address some of the questions we received from investors via e-mail over the last week. Although we are very appreciative of all the questions that came in, please understand that we cannot address every single one in a sufficient amount of time. As such, we selected what we believe to be the most important and relative questions to answer. Joe, I'll turn it over to you to kick this off.
A - Joe Culp: Thank you, Jamie. Starting with our first question. This one is directed specifically at you, Jamie. Having held the helm as interim CEO over the last several months, have you implemented a specific go-forward strategy yet? Or are you still in evaluation mode?
Jamie Colbourne: I've had this question a few times, and we're still in a deep evaluation of the business. But to reiterate the progress we have made and in particular, give me focus on growing the core business as the days for further expansions is across the business model.
Joe Culp: Second question. Do you have any progress or updates to report on the CBD-infused beverage initiative?
Jamie Colbourne: Nothing has changed since the last we spoke about this initiative several months ago. I do not have any updates to provide at this time as we are still awaiting our guidance from the FDA before we're able to move forward. We will be sure to keep investors abreast of any changes regarding our CBD initiative.
Joe Culp: Question number three. This is another question for you specifically, Jamie. Do you plan on removing the interim from your title? Or are you actively searching for a permanent CEO at the moment?
Jamie Colbourne: I have agreed with the Board of Directors to stay as interim CEO until we have a more definitive go-forward strategy.
Joe Culp: All right. Question four; as we continue to see a rise in demand for healthy beverages and a shift in consumer preference away from soda; do you have plans on evaluating markets outside of soda?
Jamie Colbourne: As we saw this quarter with the increase in our bottled business, we're going to stay focused on the craft soda market. We believe that there is a lot of growth in this category; it's a question of focus, focus, focus, and in this time now - staying now to our focus.
Joe Culp: All right. And then, I think this is the last question. How is your relationship with the team at Heavenly Rx? Are Paul Norman and Clive Sirkin still active members of the Board?
Jamie Colbourne: Paul and Clive continue as a great resource, and they serve as actively contributing Board members. And Heavenly Rx remains a shareholder. I have no further update on the initiative of our team at Heavenly. So if those are the questions, this concludes our Q&A session. Before turning the call back over to the operator, we'd like to thank everyone for listening to today's call. We look forward to speaking with you when we report our third quarter results. Thanks, again, for joining us. Operator?
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. And thank you for your participation.